Operator: Greetings. Welcome to the XPEL, Inc. Fourth Quarter and Year End 2024 Earnings call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to your host, John Nesbett, with IMS Investor Relations. Sir, you may begin.
John Nesbett: Good morning, and welcome to our conference call to discuss XPEL, Inc.'s fourth quarter and 2024 year-end financial results. On the call today are Ryan Pape, XPEL, Inc.'s President and Chief Executive Officer, and Barry Wood, XPEL, Inc.'s Senior Vice President and Chief Financial Officer. They will provide an overview of the business operations and review the company's financial results. Immediately after the prepared comments, we will take questions from our call participants. Also, a transcript of this call will be available on the company's website after the call. Take a moment now to read the Safe Harbor statement. During the course of this call, we will make certain forward-looking statements regarding XPEL, Inc. and its business which may include, but are not limited to, anticipated use of proceeds from capital transactions, expansion of new markets, and execution of the company's growth strategy. Such statements are based on our current expectations and assumptions, which are subject to known and unknown risk factors and uncertainties that could cause the actual results to be materially different from those expressed in these statements. Some of these factors are discussed in detail in our most recent Form 10-Ks, including under the item 1A risk factors filed with the Securities Exchange Commission. XPEL, Inc. undertakes no obligation to publicly update or revise any forward-looking statement whether as a result of new information, future events, or otherwise. With that, we'll now turn the call over to Ryan. Please go ahead, Ryan.
Ryan Pape: Thank you, John, and good morning, everyone. Welcome also from me to the fourth quarter and year-end 2024 call. 2024 was obviously a challenging year for the company. Going into the year after coming off a really solid growth year in 2023, we anticipated some softness after hearing from our customers at the beginning of the year, but macro headwinds, particularly in the aftermarket, came fast in the year and impacted the business more than we anticipated. That, coupled with the sell-in, sell-through dynamic in China and our decisions on how to manage it, and latent economic impacts in Europe and elsewhere, impacted our revenue growth, and we finished at $420.4 million for the year, which was just over 6% growth versus 2023. After a slow start in the first half of the year, we definitely saw customer sentiment start to improve, maybe even more so than the business itself, and see a little bit more momentum coming back in. We closed the year with a solid fourth quarter with revenue excluding China, growing at 10.5%. This was in line with what we were expecting. Our US region grew 6.2% in the quarter to $59.1 million, which was at the lower range of what we were forecasting. A reason for that was our dealership services business had revenue growing around 9%, which, if you recall, is substantially lower than what we saw in the previous quarter. We still had record high car counts in that business in Q4, and our average revenue per unit continues to increase, and we're still in net more dealerships. However, average units that we protected in some dealerships in that category declined or were flat to the previous year, as inventory has started to return to normal levels at US dealerships. So even where we have a 100% attach rate, this can occur if fewer vehicles were delivered to that dealership this quarter than the same quarter last year when inventory was building. And we definitely saw that in some cases. And if you recall, in that line of business, we're more correlated to inventory than sales. When COVID depleted inventory faster than sales went down, we felt an outsized negative impact from the reduction in inventory. And then as new franchise inventory recovered and built faster than sales, we benefited from that as well. So now we've got new vehicle supply in the US at about 1.5 million units in December, 71 days of supply. Truly sort of the first time at that level in two years. We're probably at more of an equilibrium point going forward. So change in inventory is likely to be neither a headwind nor tailwind for this line of business for the first time in several years if conditions hold. Overall, the dealership business has plenty of takes and puts. New cars are still depressed from what some would say is its historical average, leaving room for that to increase as financing conditions and consumer sentiment improve. At the same time, consumers are upside down, and more than one-fourth have negative equity of more than $10,000. On the other hand, we've seen continued increase from dealerships on our pre-installed options as they're a hard add because our products are tangible and valuable. And this presents the opportunity for continued share gains from competitive soft or paper products like insurance offerings, which some consumers may not find as valuable, are increasingly under regulatory scrutiny for what they are and how they're sold, and are also subject to cancellation by the customer. So, you know, that leaves substantial opportunity to continue to grow in this space. And we're focused on our dealership sales organization and expanding it and continuing to reorganize our sales team in this way. We want our dealership sales organization to drive business, whether preload, whether F&I, with all of our customers who want to do dealership work. We've talked about that at the dealer conference. We talked about that at every opportunity that if we have customers that are interested in dealership work, we're here to support them and ultimately to try to drive business to them. So if you think about it that way, our measure of success is units protected by content per unit. And that's really the measure more so than the exact channel service type, product sale, route to market. The measure of success is ultimately units protected. So we're really excited about how this is coming together for 2025. You know, what we're doing, how are we reorganizing the sales team, the interest we've had from many of our customers in the aftermarket, and then the programs we put in place to help enable them to be successful, whether it's billing solutions through DAP, whether it's financing solutions we put in place to help close the gap on getting paid from dealerships, and then menu and inventory and other technology integrations. We've put a ton of work into these, and we're starting to see adoption by our customer base at large. We're very happy about that. Our OEM revenue in the quarter declined slightly as this was impacted by package changes to the Rivian program. So going forward, our factory option with Rivian will shift to a full body matte wrap as part of the stealth package, and then at the same time, we'll be shifting our offering of the full front into our co-marketed referral program, which we've talked about before. So net-net, this ultimately gives the consumer more options of what to buy than what we've offered previously, but negatively impacted the quarter while we made those changes. We've talked about the referral program previously and how we're looking to provide more work to our aftermarket installer base through partnership with a variety of partners, including OEM manufacturers, where we'll sell the product online and then deliver the installations through our network. We continue to have constructive conversations about additional programs, and we've added a number of features to the referral platform to make it even more compelling for current and future partners there. Excluding the impact from shifting the program with Rivian, our OEM business grew approximately 16% in the quarter. And like I mentioned, we continue discussions on a variety of initiatives with the referral program and OEMs at large. Our China region came in at $9.2 million, which was consistent with our expectations. You'll recall that we had the highest China revenue quarter in Q4 of last year that we ever had at $16.6 million. So it makes for a tough comp in Q4 as we discussed in Q3. But as we noted on our last call, we've arrested and made many changes here into the sell-in, sell-through dynamic. So for sort of the new products we brought into the market, this $8 to $9 million run rate should be the baseline from here. Q1 will be less annually with the Chinese New Year holiday season. And then as we talked about more upside as we get through the other products in China that we're discontinuing where they're still holding inventory. So I think really no changes in terms of what's happening there from what we talked about last quarter. And as we previously indicated, we want to be direct in the key top car markets of the world, and China's no exception. So to that end, we're advancing in our discussions to ultimately accomplish that in China. For the year, we completed distributor acquisitions in Japan, Thailand, and India. As we talked about, as we will talk about, we've added the SG&A load from these operations, but our track record of in-country operations is historically very strong. And we'll see the benefits as we grow past our fixed cost that we've acquired or added post-acquisition. While we've added the cost and the SG&A associated with these businesses, the incremental revenue from these acquisitions is minimal given that we already recognized the product revenue that we sell to the distributors previously. But as you know, we expect accelerated revenue growth post-acquisition like we've seen in other markets where we've done this successfully. So we're in the very early stages of owning these operations in-country that we did this year. But we're already going much deeper than we ever would have accomplished in the distribution relationship, and that includes discussions with OEMs, local franchising partners, service, dealership services, businesses, and the like. So we have good results in the quarter in the Middle East and Asia Pacific, and we can see the benefit of the focus we've created with our regional leadership, which for us is now Asia, Latin America, Middle East and India, Europe, and then the US. And it's been really important to define that, clarify that, which we worked on throughout 2024. Ultimately to drive more P&L accountability within the region, smarter deployment of capital, and smarter investment in SG&A. So with those acquisitions, and pending China, we're largely complete with the strategy of acquiring distributors in key markets. So the focus now is our depth in terms of growing our scale and the go-to-market in each market where we operate. Taking a market-by-market approach and tailoring the products and services that we offer, and recognizing the full potential that our direct presence can give us, including, ultimately, full operating leverage in each of those respective markets. I was pleased with gross margin performance for the year, which came in at 42.2%, a 120 basis point improvement over 2023. We still think we have upside opportunity to this over the next couple of years. Although, the strength of the dollar sort of works against us to some extent in the near term, our Q4 gross margin of 40.6% was off the 2024 run rate, primarily due to mix as we monetize some slower-moving inventory through incentives. We typically do this every year in the fourth quarter, and usually has some impact to gross margin, so this year was no exception. As we talked about on our last call, our growth rates in SG&A is something that we're very focused on. And our SG&A grew 17.4% to $31.4 million in the quarter. We're working very hard to manage SG&A and focusing primarily on our overhead or corporate SG&A. As the business evolves, we have more fixed SG&A costs we're incurring at the operations or field level, such as building leases to support installation operations and management staff overseeing these operations. So that's a dynamic that we have to continue to confront as we go forward and have a broader portfolio of services we're offering. So in fact, depending on the configuration, the first dollar of service revenue at a brand new location could have a negative contribution margin due to overhead or startup costs required to get it going. In contrast, obviously, to an incremental product sold off the shelf that's almost all contribution margin. This is part of the evolving nature of our business, and we'll continue to improve how we manage that portion. You know, our 17% SG&A growth in the fourth quarter, you know, 11 of the 17% was really driven by factors such as that, the acquisition-related SG&A cost that we added, the locations associated with that, and then to a lesser extent, our nominal increase in marketing spend as a percent of revenue and R&D. So we have to be mindful of the realities of the current environment. And one that we saw this year with slower growth than to that end, we've kicked off a comprehensive review of our expense structure in Q3 to ensure we're investing in the right places. And so while that review continues, we've already taken actions in February, including a workforce reduction that'll net us about $2 million in annual run rate savings. This largely impacts us at the corporate level. As we reset our needs to current expectations and have to take a more intentional and focused posture on things like remote work, and positions created or inherited through acquisition. I think that, you know, I will justify investments in SG&A that drive revenue growth in the field all day long. These are truly investments in the future. But investments in our true corporate overhead have to be scrutinized and ultimately reduced where possible. So as we continue to review, we'll take action necessary and available, but certainly not at the expense of the long-term health of the business. We're targeting several million dollars more of corporate cost through optimizing the expense structure with outside vendors, and services, throughout the organization and through other corporate personnel reorganization by not backfilling certain positions as they become available through attrition. So we see the outlook for 2025 as mixed. And more uncertain than normal. So the positives sentiment in the aftermarket seems to have improved. As a company, I think we're executing better than we have in several years as we have more clarity and focus on the things that are important. I think as you see revenue grow slower, it gives you time to reflect more on what you're doing. And to ensure you're doing it correctly. The promise of lower regulatory burden in the US is encouraging. And I think, you know, we know and I know more of what I need to do to drive the company forward in 2025, to start 2025 than I did in 2024. And I think a lot of our team would say the same. On the other hand, inflation and interest rates have not moved as expected. And as we would want to unlock more of the new car market, and the aftermarket remains subdued compared to the previous years, certainly in part due to these affordability challenges. Additionally, our business is global in nature. Specter tariffs and impediments to trade create uncertainty, despite our efforts to put in place mitigations. And the US dollar has strengthened and remained incredibly strong on a historical basis against our common currency pairs, impedes our margin, actually reduces revenue growth rate, to some extent, and, you know, was obviously painful in the fourth quarter just from an FX realization standpoint. But we've completed our global realignment of management responsibilities as I mentioned earlier, around our regions. And we have the strongest P&L alignment with our leaders and a mandate to focus on optimizing the expense structure to achieve the results while driving growth and expanding their respective markets. And I think from a management standpoint and how you've organized the business, to help drive our future success, we're probably in the best structure that we've ever had. As I mentioned earlier, pending China, we're largely complete in our desire to acquire distributors in key global markets. Where we want a direct presence, 2025 is a pivotal year for us to refine and implement our strategy to deploy capital in the business to drive future growth. As we've talked about, the primary interest of ours is further developing our services business, mainly, but not exclusively in the new car dealership space. Where we think a larger presence can bring more opportunity for our existing products alongside TAM expansion into other products and services. We've gone very deep in this process to analyze all the targets and strategies and are working through that now. The challenges to accomplish this include the fragmented nature of that business, and of these targets to achieve meaningful scale, probably more fragmented than we would have hoped. But not such that it's not viable, and then unrealistic expectations around purchase price. That said, you know, there's substantial opportunity in this strategy and to implement this. Before returning cash to shareholders becomes the primary objective. We just had our dealer conference last week. We had over 700 attendees. This was an all-time record of attendance. Thirty-eight countries represented. You know, very interesting to see in the current dynamic that we would have such record attendance. What was interesting is relatively speaking, the conference was later to book up. More back-end loaded. And that probably just speaks to maybe some of the uncertainty that exists in the overall space. But the sentiment was positive. I would describe it as much more positive than 2024 at the same time. 2025 off to a good start for folks, and I think, you know, hard to say whether that means their business is demonstrably better than 2024, or they just have more confidence that it's not deteriorating or that there aren't more challenges coming. Different opinions based on who you talk to. But the sentiment was good. The feedback was good. We unveiled what's our number one objective for 2025 as a company? And at the conference, and that's really to redouble our efforts to ensure we're always providing amazing service. You know, we serve many types of businesses. No two customers of ours were alike. Across many product lines now and in many geographies, and our commitment is to ensure that we redouble our efforts to provide excellent and efficient service. And remote work, Slack messages, and the like, these can often be an impediment to getting things done quickly for customers as they need it and more than one example of turning something that could be done in minutes into something that takes days. And we're focused absolutely on eliminating that and being as efficient as possible in our delivery of excellent service. So that was our commitment and launch to the customers at the conference. And that's percolating through the company and our initiatives for this year. Our launch of the windshield protection film has been going quite well. We received good feedback on the product thus far. Customers seem to be excited about the upsell opportunity. As we mentioned before, we hope to start, you know, consumer marketing around this product a little bit later this year to unlock its potential as a gateway product. Because it does appeal to some consumers that are not typically already in our ecosystem. We're making really good improvements to our architectural film program. Got some technology-enabled selling tools requested by dealers that are in the process of rolling out an extended glass breakage warranty program launching in Q1 and the beginning of Q2, again, something very much requested by the growing customer base there, and then the addition of dedicated surface protection films for things like countertops and related, which is really part of the strategy overall to drive more of the protection angle in that vertical over time. As we may have mentioned before, we're also planning to launch our colored film portfolio starting in Q2. This is a TAM expander for our business, and we're focused on ways to add value for our customers around this and DAP and elsewhere. I'm looking forward to that. And then finally, our investment in DAP as a platform to help run our customers' business efficiently continues. We're delivering customer leads and deals in DAP. We're focused on operational components to benefit them, things around work orders, scheduling, commissions, and now our warranty submissions are integrated into DAP, and then scheduling followed by more consumer-facing items such as quotes, and things like that. So we launched the first companion mobile app in the App Stores to DAP, and the development on that continues. And we really want to reach as much feature parity between, you know, traditional DAP desktop and the mobile app as we can as makes sense. We received a lot of positive feedback from our customer base at the dealer conference and a lot of additional asks and requests which we're putting into queue. So as always, I greatly appreciate the effort of our team. You know, one of the benefits of having our dealer conference is it is in part a global employee conference as well. And it's not often we can bring together many different groups, you know, that are in different parts of the world pushing to drive the business forward. And so it's really an amazing time to do that in a very dense and high-intensity time. And I could tell you that everyone's working exceptionally hard and that they understand, you know, what we need to do and our mission and how we need to serve customers well. And I'd be remiss without recognizing our marketing team who always has a great job in putting that event on. So, you know, busy start to the year. Thanks to our team for their efforts. And we will turn it over to Barry. Barry, go ahead.
Barry Wood: Thanks, Ryan, and good morning, everyone. Our overall revenue growth in the quarter was 1.9%. But as Ryan mentioned, the China noise masked the overall, you know, quite solid performance in our other regions. Our product revenue was flat in the quarter, but if you factor out the China impacts, our total product revenue grew 10.9%. Our total window film product line grew 32.9% in the quarter, with most of that coming from automotive, which grew 31.7% to $14.3 million. And with that, there was good growth being driven by our partnership with Tint World in that product line. Our architectural film revenue declined slightly to $2.7 million, due primarily to timing of sales into China this quarter versus last quarter. Our windshield protection film, our newest product, which launched during Q4, had a really nice start with revenue of $1.5 million in the quarter, which effectively is just one month of sales. So we're pretty happy about that. Sequentially, window film revenue was down about 19%, which was expected, given the seasonality of the product. And as Ryan also mentioned, our SG&A expense grew 17.4% in the quarter to $31.4 million. Sequentially, this was up a little over 6% versus Q3. And most of this sequential increase was due to SEMA-related costs and professional fees incurred related to acquisitions closed in Q4. As Ryan said, we just completed a workforce reduction that impacted about 10% of our corporate workforce. As we think about SG&A expense in Q1, there will be some one-time expenses related to this reduction in workforce of approximately $0.7 million. And also, as a reminder, we did have our dealer conference in Q1 this year, which is the same time as last year's timing. The net cost of that will be around $1.2 million. Another anomaly in the quarter was the significant strengthening of the US dollar, which started right around September, resulting in an FX monetary transaction loss of approximately $1.2 million in the quarter. And this was worth about a little over three cents of EPS hurt for us. Our EBITDA declined a little over 19% in the quarter to $14.3 million, reflecting a 13.3% EBITDA margin. And if you normalize for the FX impacts, EBITDA would have declined 9%, which would be a 14.3% EBITDA margin. Our total EBITDA for the year finished at $69.5 million or 16.5% of total revenue. And this was about 9.6% less than last year. Net income for the quarter declined 25.7% to $8.9 million, reflecting a net income margin of 8.3%. And EPS for the quarter was $0.32 per share. But again, normalizing for the Q4 FX impact, EPS would have been $0.35 per share. Net income for the year declined 13.8% to $45.5 million, reflecting a net income margin of 10.8%, and EPS for the year was $1.65 per share. And on our last call, we talked about our expectation that our year-end inventory levels will remain relatively static to Q3, but that didn't happen as planned. In the quarter, we brought to scale a new manufacturing location and decided to ramp up their procurement of the raw materials to be used at that location. Subsequent to the election and with the threat of increasing tariffs and retaliatory tariffs, we wanted to make sure we created maximum optionality to supply all of our global end markets with the minimum possible disruption. And thankfully, the tariff threat has not yet materialized, and the new site will be used as part of our global production needs. Raw materials and WIP will remain elevated while the site is fully integrated, and then they'll lower over the next couple of quarters. Cash flow provided by operations was $6.3 million for the quarter and $47.8 million for the year, which compares to our 2023 annual cash flow provided by operations of $37.4 million. Our cash conversion cycle decelerated during the quarter with our increases in inventory purchases, but accounts receivable and payables turns are healthy. So improvements to the conversion cycle will come as we continue to right-size our inventory. We did complete five acquisitions during the year with an aggregate purchase price of $12.5 million, and our credit facility balance sits at zero as of the end of the year. So we continue to be financially well-positioned going into next year. And with that, operator, we'll now open the call up for questions.
Operator: Certainly. At this time, we will be conducting a question and answer session. You may press star two if you would like to remove your question from the queue. Please pick up your handset before pressing the star keys. A moment please while we poll for questions. Your first question for today is from Jeff Van Sinderen with B. Riley.
Jeff Van Sinderen: Good morning, everyone. Wondering if you can give us a little bit more color on sort of what's going on on the ground in China sell-throughs. Obviously, there's a sell-through sell-in thing there, but just wondering kind of what you're seeing with sell-throughs and the outlook there. And then I know this is a tough question, but anything you can give us on the timing of when that may become a direct business for you?
Ryan Pape: Sure, Jeff. Yeah. I think from a sell-in, sell-through dynamic, really no changes from what we discussed in Q3, which is that right now and going forward, it's much more evenly matched based on all the changes that we made. So we're not seeing a sell-in versus sell-through dynamic with what you see in Q3, Q4, and ongoing. The days of inventory for these new products are much lower, and so they're selling through much more ratably than they were previously in part because we're helping to manage the inventory in China. So the only secondary part of that was we have other products where there is still some inventory that's being sold through in addition to what you see us selling. And as we talked about before, you know, as those products sell through, we'll replace them with new products we intend to launch in a similar way where we're not going to have the sell-in sell-through dynamic. So really, similar to Q3, you know, that dynamic is over. And Q4 is really the last time I think you have this sort of outsized impact like you've seen when comparing this quarter to the prior year. In terms of our plans in China, no. I don't have anything more to add. Obviously, top strategic priority for us and something we're very much working on every day.
Jeff Van Sinderen: Okay. Fair enough. And then we could just turn to gross margin and the operating expense outlook for Q1. And then any early thoughts you might have on what the quarterly progression of metrics might look like this year? And then also if you could just add anything on how you're planning to, I know you spoke a little bit about this, but mitigating potential tariffs.
Ryan Pape: Yeah. I think, you know, from a gross margin standpoint, if you look at the full year number in the 42% range, I mean, that's sort of the kind of run rate type numbers we should be looking at. Probably a little pressure on that if you consider the impact of the strong dollar, but then offset against where we see opportunity to still grow margins. So I think, you know, in our round number, that 42% is probably good. You know, I think that it's hard to give an outlook, really, for the business looking out Q2, Q3, Q4 next year. You know, we see this as probably, you know, the most uncertain when you consider things like tariffs and you consider the impact on currency and things like that. So I think we feel we have the least confidence looking out that far. But I also would say, you know, that's not necessarily a negative comment either. When you talk to customers and you see the enthusiasm like we had at the dealer conference and you look at how many chose to spend the money to be there and what they're doing in their business, you know, there's real enthusiasm there. But, you know, ultimately, that has to be met with customers on their doorstep as we get through the year. So I think, you know, there's so many takes and puts. When you look at the tariff impact and all of the things going on at the federal level, you know, I think that to make no comment of the validity or not of those decisions, but it just creates uncertainty, you know, for a company with half of our revenue more or less outside the US. You know, we have to be concerned about sourcing. We have to be concerned about end markets. We have to be concerned about retaliatory tariffs. I think we've done everything we can to build in optionality into our supply chain to mitigate that. But, ultimately, you really don't know until things happen. And what the actual impact is. So I think that, you know, we're, I would say, cautiously optimistic that the impact is negligible on its face or that we have the ability to compensate for it if it does materialize. But it certainly contributes just to an uncertain environment for this year. And, you know, even to look at something like interest rate environment and what that means to new car affordability and how that trickles down through dealership and dealership economics and the manufacturers. You know, you just see how the expectations on that have shifted in a matter of, you know, the past sort of three or four months from, you know, rates definitely going down to maybe higher for longer and more risk of late inflation. So I don't think we have better insight into those things than the market overall or to any other business. But our goal is just to try and be as well-positioned as we can to respond to the things that happen and or take advantage of them if it creates opportunity.
Jeff Van Sinderen: Okay. That's helpful. And then if I could just squeeze in one more, just any thoughts on the launch of the color films, how you're approaching that, and then also marketing around that?
Ryan Pape: Yeah. We're actually really excited about it. I mean, I think if you've heard my comments on it over a period of time, they probably varied a bit. But as we've been closer to launch and had a lot more voice to the customer, and a lot more engagement with our customer base around the topic, I think we're pretty excited. The question still remains of, you know, what is the introduction of different types of colored films due to the overall TAM of that market, but irrespective of answering that question, it creates a good opportunity for us, and it's something that our customers want. And so we're excited about that. And I would say, you know, from a marketing standpoint, it's probably easier to market something that you can see versus something that's clear. So I can tell you from what I've seen from our marketing team, they're pretty excited about that fact.
Jeff Van Sinderen: Okay. Great. Thanks for taking my questions.
Ryan Pape: Thanks, Jeff.
Operator: As a reminder, if you would like to ask a question, your next question for today is from Steve Dyer with Craig Hallum.
Matthew Raab: Hi, guys. This is Matthew Raab on for Steve. Just on OpEx, realizing there's some noise going on there in the first quarter of 2025. But specifically on sales and marketing. XPEL, Inc. has made some investments, ramped up that spend throughout '24 relative to prior years. Do you feel like that marketing spend will continue through '25? And where do you think it's wise to invest those dollars? And then any considerations we should make on marketing spend as a percent of revenue?
Ryan Pape: Yeah. So when you talk when you see sales and marketing together, you really have kind of three components of that. You've got our sales team, you know, their compensation, commissions, incentives, etcetera. You've got marketing, which, you know, which we really think about sort of independently as more around 3% of revenue. And then you've got another component in there, which is really, I would say, third-party commissions and agent fees and whatnot that are more prevalent in the dealership space. And so part of what you've seen in the growth of that is those third-party fees and agent fees for partners who are bringing us dealership relationships, and so that just behaves a little bit differently than sort of a true sales expense where we're hiring more people. So we would, you know, those are trades we're happy to make. Where we can bring in established relationships. But it just behaves a little bit different than sort of the planned expansion of headcount, if that makes sense. So you're seeing that in some of the numbers. I would say that part happens to us a little bit more whereas the rest is intentional. From a true marketing standpoint, you know, we want to grow marketing from 3%. We'd like to grow it higher. You know, maybe for 2025, if we push it and maintain it, you know, maybe we get more like 3.5%. We see this as an important objective overall. Like to get it to 5%, but obviously, that's not happening. You know, that's not happening in the present time. When you look at the first component of that total sales and marketing, so absent the marketing third-party fees. You know, the size of our Salesforce in the US and Canada is relatively flat. So we don't really see that growing substantially. We are reorganizing it to be a bit more dealership and aftermarket focused to just ensure both customer types get the attention they need. But the short answer is don't expect that, you know, line item on a percent of revenue basis even in aggregate to be growing dramatically.
Matthew Raab: Okay. Got it. And then just a quick one here. You mentioned a manufacturing location to possibly mitigate tariffs. Is that location in the US?
Ryan Pape: Yeah. So we have manufacturing now available to us in three countries. And so if you're looking at the strategy, you've got to look at obviously, the US end market. Yeah. I'm tariffs that could be impacted. So ensure you've got plenty of domestic capacity. But then we're also looking at our other international end markets and what happens in the event of retaliatory tariffs against US-made products. So that's where it's important to have capacity outside the US. So we've got all of that scaled up now, and we can make choices about the mix depending on what happens.
Matthew Raab: Okay. That's great. Thanks, guys.
Ryan Pape: Thank you.
Operator: We have reached the end of the question and answer session, and I will now turn the call over to management for closing remarks.
Ryan Pape: I want to thank everyone for your time today and for the questions and look forward to speaking next quarter. Thank you.
Operator: This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.